Operator: Good morning, ladies and gentlemen, and welcome to the Swisscom Half Year Results 2013. After the presentation, you will have the opportunity to ask questions. Now, I hand over to Bart Morselt. Bart, please go ahead.
Bart Morselt - Head of Investor Relations: Yes. Good morning, ladies and gentlemen. Apologies for the small delay at the beginning there. Welcome to this call. With me are Urs Schaeppi, our Interim CEO and Mario Rossi, CFO. The agenda on page two. The title of today’s presentation, carrying on, is a clear tribute to our former CEO, Carsten Schloter who died so tragically two weeks ago. Today we want to take a step back and reflect on what Carsten meant to us and to the company. On chapter one, Urs Schaeppi, he is Carsten’s successor on an interim basis, will talk about what Carsten meant to us. He will continue in the second chapter by presenting again the vision and strategy which was formulated under Carsten’s career. The key metrics being that Swisscom’s Board and Management will continue on this path with no disruption or hesitation. Lastly, Urs will present in chapter three some of the changes that we have adopted in the daily management following the passing away of Carsten. As life continues and Carsten would have wanted us to carry on as he himself always did, it is time to present the first-half results. Mario Rossi, our Group CFO will present this in chapter four and five. Well I will conclude by discussing the slightly upgraded guidance in the final chapter. With that, I would like to hand over to Urs to start his part of the presentation. Urs?
Urs Schaeppi - Interim Chief Executive Officer: Thank you, Bart. And good morning, ladies and gentlemen. Before starting with the presentation of the strategy of Swisscom, I would like to spend few words to Carsten. Carsten was a very pragmatic and great leader. He was also a good friend of us and he brought the company Swisscom much further. So, we have a great thanks to Carsten for all what he has done for Swisscom. He started his career in Swisscom in 2000 as CEO of Swisscom Mobile. In 2006, he took over the responsibility of CEO Group Swisscom. And he shaped the strategy of Swisscom with a very visionary approach. He was always driven by the belief that delights the customer is crucial and he always look for long-term gains if he had a dilemma in a decision between short term and long term. He always went for a long term prospective and in our business this is certainly the right way. We are convinced about his strategy and we will continue with the strategy of Carsten. Coming to the strategy, let’s go to slide five. We are coming in an IP world, our business is turning from a low competitive scale to a IP – global IP system. This has a lot of consequences for operators, for local operators like Swisscom. In such a world, we are convinced that the key differentiator to be really successful to gain market shares is the quality of the access network. With a good access network we will be sustainable and we will increase our market share. But the good access network alone is not sufficient, we need on the other side excellent product, a good customer service and excellent customer service and differentiated price tariffs, price plans like for example Infinity. This strategy will lead us to increase our market shares and I will come on the next slide now more detail on the way how we would like to or how we do it. On slide six, you see actually the big difference between the old world and the IP world. In the old world, we had local competition, the old world a lot of services were fragmented. That means there were providers for telephony, there were providers for TV or Internet. And in the new IP world we are living in a converged world, the services are connected, are integrated. The competition is the global one and the customer is in an always-on world with multi-devices. And there is also application providers which are entering in our market. As you know it better than I, for example, WhatsApp which was able to really cannibalize SMS revenues in spite a short term. Also Swisscom will play not only on the traditional telecom side, we will be also in a very focused area, we will be playing in the service fields as we showed it with our launch of iO six weeks ago and you were quite astonished about that the take up of this application is filling in a very short – with very early stage, we have to improve it. But we were really impressed by the take up. We have actually 320,000 subscribers only half and one third of it are customers from competitors. If we flip to slide seven, you will see the IP adoption in our tariff structure. In an IP world, the business module has to change. Only usage-based charging is not sustainable and you can see how we were able to discontrol that through our bundling strategy, for example, like Vivo Casa or also Infinity - NATEL Infinity, or in the corporate through the software-as-a-service product unified communication, managed services, we were able to switch our revenue structure. In 2010, we had 48% of the revenue was usage-based, now today Q2 2013 we have 28% usage-based. So, a big change in this non-listed world, important pillar in our strategy. On the next slide on slide eight, you see another crucial pillar in our strategy that’s the network, that’s the best local access. We invest heavily each year in our network and you see that we are conversantly rated as the best provider. For example, the Connect Test for the mobile networks, you see that we are always substantially ahead of our competitors. And that’s crucial, that’s crucial because that the local network is sustainable investment and you can’t replace it as far as an OTT application. For example, if Google would disappear, it would be easy to be replaced by another search engine not for the local network, local access network has to be built. It needs long-term investments and that we need a clear good operational skills to maintain it and running. So our investments in the local access network is crucial for us and is a key pillar in our strategy. On slide nine, you see that in this IP, we have to change our tariff structure. We have to make us invulnerable against the OTT threats. And that means we shift to the non-metered world, to the monthly fee world. And with Infinity we proved that we were able to really deliver on it. And on slide 10, you can see that we have a very fast take up of Infinity after one year we are – we have 1.3 million customers, one-third of our postpaid subscriptions on NATEL Infinity. It’s the most successful tariff plans we ever make. And today we have the penetration of 35% of our postpaid customer base is on NATEL Infinity. So, such success on the acquisition side. On slide 11, that’s the – maybe the most important slide of today. You see that we were able to increase the ARPUs in the second quarter 2013. Customers who are changing or who are moving from a traditional tariff plan to Infinity they have the higher revenue CHF1.9 per customer advance as a higher revenue that shows that we were able to change the trend that now we have higher ARPU. We are also pretty confident that we can further increase in ARPU. So ARPU increase is certainly the second good message of the Infinity story to search the good message of the Infinity story is the acquisition call and actually the performance the market performs in acquisition. You will see the net portings on this slide and you see things to launch of Infinity that net portings are approximately 6% higher than the fourth and this is actually phenomenon performance if with the market share of more than 60% actually the net portings should be negative and we are able to have high net portings that means our competitors loose market share and we have a very churn. We have a churn which is on a level I have never saw in my life since I am in Swisscom we have very low churn rate. This, you see on the next slide you see this on slide 13 that our market shares are increasing. We had, one year ago we had a market share of 61.9% now in Q1 of this year we have a market share of 62.3% we don’t have the figures of our competitors of the second quarter that’s why we bought here the figures of the fourth quarter but churn could increase of the market shares. And this market share are extremely fundamental for our business performance and then with this I came to the conclusion or summary slide on page 14. We are in a fixed cost business and in this business we have a very capital intensive structure but we have incremental cost overall. Approximately 10% of our costs are valuable the rest are fixed cost that means a strategy of a non-usage strategy, a strategy of non-usage is quite a rightful strategy because we have full mature fixed cost. But if you want to make in a market in a business with such fixed cost it is one thing which is important strategy and market share and this tail end market share our approach is the one that we will ask the best network, excellent access network to the one. Pillar two, to have a prominent portfolio which delights the customer, pillar three excellent customer service because that’s really the insurance of a company like which come with market share of more than 60% its crucial to have an excellent customer service. And then the fourth pillar in it is differentiated pricing which comes to your applicant so easy as for example Infinity because Infinity is not only a flat rate tariff its also a combination with our network, access network speed and if you want to deliver on speed we have to invest in the network you have to be leading on the access infrastructure. So that’s what very shortly the strategy which was formed by Carsten we are fully convinced about it and we will deliver on it. Now before hand over to Mario I will like to say some words on our interim management structure. The Board of Directors decided that I took over the interim management of group CEO my colleagues in the Board support me Mario Rossi will take on an interim base the Chairmanship of Fastweb while Ueli Dietiker, our former CEO takes over the Chairmanship of Swisscom IT Services. And the fourth point what I would like to mention on this interim management structure that the Board has decided to establish a nomination committee looking for a successor in the CEO position and they want to be decide at the end of this year. So that very briefly some information about our interim structure and now I would like to hand over to you Mario for the results.
Mario Rossi - Chief Financial Officer: Thank you all and good morning ladies and gentlemen. Before I kick off let me also say it clearly how important the loss of Carsten is to me personally and also business wise. So its really a sad and bad two weeks ago and we learned the tragic news. If there is however one thing that we can learn from Carsten and it is to all this carryon is lots of energy which we’ll do now that is casting the results of the first half. Let me start with the top line, group revenue for the first half of the year decreased by CHF25 million in total so revenue is interim by free exceptional is a positive impact of CHF31 million. The charges for the product depreciation of CHF21 million, hubbing minus CHF36 million and impact of acquisition of Cinetrade and Entris of CHF46 million, revenue is CHF56 million or 1% below previous year the Q2 trend in much above that in Q1 of this year. Assets underlying revenues decreased by CHF15 million a slight below of contribution comes from our wholesale business that does not take into account hubbing and ForEx appreciation. For Swisscom Switzerland, revenues came down by CHF35 million year-over-year. Lower revenue due to continuing price erosion as well as declining wireline revenues can’t be fully compensated by the volume growth. On the next slide we see a motion of the EBITDA, group EBITDA declines by CHF122 million lower restructuring cost CHF17 million the strengthening of the euro against Swiss franc and some higher pension cost CHF21 million which are not cash effective has a positive impact on the EBITDA of CHF9 million. The operating results resolve without these exceptional decreased by CHF131 million compared to the first half year 2012. Fastweb EBITDA contribution without exceptional came down by CHF27 million but not only revenues declined as well as higher SACs led to this reduction margin of Swisscom Switzerland, without exceptional came down by CHF115 million in order to better explain this lets have a look on the structural overview on the next page. Revenues from access and traffic came down CHF34 million net with the net EBITDA back of net CHF939 million the impact of the new Infiniti tariff plan compared to prior year CHF18 million on the revenues and CHF21 million on EBITDA. Subscriber acquisition retention costs are driven by higher subsidies for handset compared to 2012 than increasing number of customers. In the position of are included local.ch with a negative impact on EBITDA of CHF13 million driven by less revenues. On the same line on EBITDA level the additional hardware sales on the only the interim on EBITDA as they generate higher revenues as well our OpEx. Indirect cost increased to higher repair and maintenance partially caught by the rain weather in the second quarter and the IT cost profit mainly due to process IT and higher TD customer base implicates higher services from Microsoft. Turning to the net results depreciation, amortization increased slightly by CHF29 million to CHF992 million mainly due to higher amortization at Swisscom Switzerland relating to the motor licenses acquired in the last year as well as due to the ongoing pipe roll off. Net interest is CHF21 million better than the previous year mainly as a result of fair value adjustments of interest, interest rate at income taxes of CHF180 million led to an effective tax rate of 18% in the long run we calculate this corporate tax unchanged of 21%. Compared to last year, net income of the group went down CHF88 million to CHF819 million. This decrease is mainly driven by lower EBITDA. Page 22, cash flow evolution, operating free cash flow at the end of June 2013 went CHF860 million which means CHF190 million below previous year. It is mainly driven by the lower EBITDA which decreased by CHF122 million. CapEx increased slightly by CHF4 million to around CHF1 billion, Fastweb’s capital expenditures rose by CHF40 million or 14% to CHF350 million due the expansion of fiber optic network in Italy. Net working capital grew by CHF222 million rose again of last year mainly due to lower price payables. Let’s have a look at developments of segment results and some highlights, some key drivers of the financial and operational performance. Let’s start with residential customers net revenue went up by 0.8%, to CHF2.5 billion as trend have shown adjusted for the acquisition of Cinetrade is going to build CHF20 million in Q2 net revenue as year-over-year on previous yield ladder. Price erosion can be compensated by volume growth and higher hardware sales. Contribution margin 2 decreased to CHF1.44 billion or 3.4%, this mainly total EBITDA before the cost of higher direct cost, acquisition and retention cost and our payments. Indirect costs remained stable. On the operational performance we see a further good momentum under wireless and TV market. The Infinity price plans led to a higher number of postpaid subs plus 5.1% year-over-year and the number of TV subs increased by 30% year-over-year to nearly 900,000 subscribers. We are clearly on the way to 1 million TV customers. On the SME segment net revenue decreased by 2.1%, to CHF560 million, the decline is due to price erosion effect and decreasing wireline telephony revenues it’s got to be compensated by an increase of wireless and broadband subscribers. Lower net revenue of total CHF13 million and higher direct cost of CHF7 million explain the lower contribution margin which is decreased by 4.2%. The main two items on the operational performance we see ongoing broadband with now 205,000 lines and the wireless ARPU decreased by 12% primarily due to the right-grading effects of Infinity customers. On the corporate segment on page 26, the net revenue of the segment decreased by CHF24 million to CHF882 million, especially the wireless business shows a mixed revenue contribution. On the one hand, the revenue from wireless access increased, especially thanks to more bundle subscribers rise CHF28 million. And on the other side, the revenues for wireless traffic growth declined by CHF35 million. Therefore contribution margin 2 came down by CHF19 million. Numbers on the operational results, the number of wireless subscribers went up by 9%. Around one-third of this growth increase is machine-to-machine driven. The price pressure in the wireless business led to an ARPU erosion of about 13%. In the wholesale segment contribution royalty margin came up by approximately 5%, CHF9 million year-over-year thanks to higher inbounds and rolling volumes. On page 28, network and support functions, indirect cost explain most of the increase of the net of these contribution margin, personnel expenses due to lower restructuring cost came down by CHF9 million and are partly offset by higher retail and maintenance cost as well as IT cost. CapEx for the first year reached CHF508 million and did not reach the high level of off season. Now some words on the operational performance of Fastweb. Also the growth in net adds is decreased in Q2 due to seasonality, we are the only operator with a positive net adds development in Q2 2013 in the volume market. It is obvious that Fastweb’s position with net adds of 26,000 subscribers is ahead of all other Italian operation. The successful partnership with Sky contributed 9,000 net adds or almost one-third of all Fastweb net adds in Q2. Consumer customer base grew by total 13% year-over-year. In the executive and wholesale segment, we also recognize solid signals. In overall order book somewhat drop in prior year due to one-off sales in Q2 2012. The win rate of corporate negotiations, sales stands at the high 64%. New contracts with interest in corporate customers has been signed and the order intake and value-added services was higher than in Q1 2013. All in all, our second quarter commercial performance was solid across all segments and confirms our expectations. On the next slide, a couple of points to show that Fastweb is mostly in line with expectations. Commercial performance in the volume market, consumer segment, improved steadily in a tough environment both from economical and political perspective. Also in the value market, Q2 continues to show a good momentum despite a slightly lower order book, order intake, win rate and new corporate customers showed positive developments. Financially, Fastweb is on track as well. Both EBITDA excluding the higher cost related to growth and CapEx are in line with expectations and signal that Fastweb is well-positioned for the further even in Italy in the tough market. On the next page, the financials of Fastweb. Excluding to this higher managed reduction of low-margin hubbing revenues, net revenue is lower €30 million lower than previous year declined mainly to one-off revenues in wholesale in 2012 in Q1. Remarkable that consumer revenues is growing by 2.2% that means the higher customer base is paying off. Reporting EBITDA reached €210 million which is equal to a margin of 26%, EBITDA decreased by €22 million is fully driven by higher growth-related costs. Without the FTTS rollout, CapEx decreased by €60 million, Consumers on the segment offer Swisscom IT services’ external revenue increased by CHF19 million year-over-year as a result of the acquisition of Entris, Swisscom participation revenue went up by CHF11 million mainly due to higher revenue for construction services. That brings it to the final step. Both guidance on slide 34. On this slide you can se our slightly changed full year guidance of 2013. We have increased group revenue guidance from CHF11.3 billion to more than CHF11.4 billion on the back of around CHF150 million extra revenue from our division. Group EBITDA guidance remains unchanged because the EBITDA impact of the acquisition in 2013 will be marginal due to expected T&I cost especially that relates to the Entris acquisition. In the second half of 2014 we expect to generate more EBITDA than in the first half driven by both Swisscom Switzerland and Fastweb. In Swisscom Switzerland we expect the positive contribution from the Infinity side which we discussed before and seasonally driven higher roaming rent use approximately CHF40 million compared to the first half. Subscriber acquisition costs is not right-grade as far as the last year, in the second half 2012 was the launch of Infinity with very high number and handset sold as well. At Fastweb it’s likely that we see improved margin performance on the back of the growing customer base. We are confident on Fastweb’s guidance because of the recent decision of the Italian regulator to lower the ULL and fixed rate prices which should have an impact for the full year and between notebook and an impact in the first half. Finally, in terms of CapEx, we still expect to spend around CHF2.4 billion. The increase is mainly driven by our investments into fiber connectivity both here in Switzerland as well as in Italy. With that, I conclude my part of the presentations and then over to the operator to start the Q&A session. Operator?
Operator: Thank you, Mario. (Operator Instructions) The first question please.
Tim Boddy - Goldman Sachs: Yes. It's Tim Boddy from Goldman Sachs. Can you hear me?
Mario Rossi: Yes we do.
Tim Boddy - Goldman Sachs: Great. I just wanted to ask a little about both competition in Switzerland and the higher-than-expected or higher-than-we-expected cost of growth at Fastweb. Could you just characterize competitive intensity in the Swiss market over the quarter and any key changes you've seen? And then, as I said, Fastweb. Could you just give a little more color on why we're seeing such a significant rise in the cost of growth and maybe quantify the benefits in the second half from the low ULL fees. Thanks very much.
Urs Schaeppi: Okay. To Switzerland to the competition in Switzerland in the mobile market we see competition we see a strong hot price moves of our competitor mainly in the business market they are trying to enter in the business market but not the actually that with a lot of success. In the residential market as I mentioned it before, we are in a very good position we gained market shares and the pricing structure in the residential market quite stable also if you look to the last moves of our competitor they weren’t really very price aggressive we won the exception steps with the mobile data type. So, stable relatively stable conditions in the mobile market residential. In the TV market we see a good competition we are satisfied with our success in the TV market we gained markets shares then the moves of our compared to percentage TV market with a horizon was let’s say impact of some alternate and not too much price competition. Price competition we have in the broadband market and cable from they really played a heart of suite and that’s why it important for us to make really the investment in our wireline network. But we are, we have also introduced Europe to the market shares and to our gross adds we are quite stable situation in the broadband market.
Mario Rossi: Okay I take the Fastweb tractions in the first half 2013 we had net adds of 120,000 compared to the prior year, where we at about 80,000 that means we have just because of the higher net adds additional subscriber acquisition costs that we mentioned that’s around 20 million that’s a decline on the EBITDA. The impact of the recent decision of AGCOM, Italian regulator is in the low double digit for the full year.
Bart Morselt: On EBITDA?
Mario Rossi: On EBITDA yes.
Tim Boddy - Goldman Sachs: Okay. Great. Thank you.
Operator: Okay. The next question please.
Michael Bishop - Barclays: Hi, good morning. It’s Michael from Barclays. Firstly I just like to pass my condolences to everyone at Swisscom regarding Carsten and I’ve two questions, please. The first one is you had mentioned earlier in the year around the Investor Day about potentially launching some new fixed line pricing with potentially some resemblance to the style of tariffs that you have in the Infinity tariffs in mobile. So, could you just give us an update on that please? And then secondly, could you give us an update regarding your thoughts around Fastweb and potential Italian consolidation? Thanks.
Urs Schaeppi: Okay. To the first question our intention in the wireline business we’ll bring a new tariff structure with a very strong TV product in it to really go for market shares increasing in the broadband market. We’ll do this in a step by step approach. And the first step we’ll do it in August this year small step and then in the in the next month biggest step. Bu the main idea to have a very strong bundle, bundle triple play bundle with inclusive voice pricing and also a strong TV product. On the second question I have on our plans in Italy…
Mario Rossi: As we mentioned we’re happy with the commercial and financial performance of Fastweb. We continue to invest in the next generation network. We carefully listen to all the rules in Italy but we think that right now standalone it can create venue Fastweb companies and I think its next generation network.
Operator: Alright. Next question please.
Luis Prota - Morgan Stanley: Yes. Hello. It’s Luis Prota from Morgan Stanley. Two questions, please. First on Switzerland you were mentioning the positive impact this quarter from clients moving to Infinity a positive impact on the IPO. And then in the second quarter standalone and you have reported as well positive revenue growth in the second quarter in Switzerland but that was including some exceptions. So, the question is when do you expect the accumulative impact from customers migrating to Infinity to have a positive impact on organic growth in Switzerland and when we’re going to see revenue growth in Switzerland? And secondly, on Fastweb, you were reiterating the guidance and you were making some comment on the impact on regulation. But if I’m not wrong margins in the second half need to be above 30% to make your EBITDA guidance so the first thing whether tariff about right and how are you expecting to widen margin so much in the second half just whether its cost cutting or just benefiting from stronger APIs and revenue growth any light on that would be useful? Thank you.
Urs Schaeppi: Okay. For the first question mobile in Switzerland or Infinity there we have different trends. On the one side, we’re optimistic that we can increase the ARPU slightly and increase the ARPU on the new migration to Infinity. On the other side, we’ll have a strong dynamic in the roaming margins also in the next years and that as you saw it in our presentation in the first half year, we had only on roaming, we had CHF90 million price decrease so we’ll have further dynamic on it. So, that means overall the mobile business will be under pressure slightly also this year and also the next year but it will be slower growth out and up to now.
Bart Morselt: But at the same time in the year-over-year context I mean, if we launched Infinity in July last year or end of June last year and there the highest number of subscribers got lost in the first period with like ARPU also. And certainly year-over-year context we’ll do positively in the second half Infinity isolated. But then as we said we said, there are other effects in terms of for instance price effects and roaming effects that may have an impact on the overall mobile performance.
Urs Schaeppi: And (indiscernible) you are correct the margin in the second half mostly 30%. We did not reach 30%. And the improvement is backed on several, several reasons. First of all, we continue to benefit from the higher customer base in consumer. We saw it in the first two quarters. Secondly we expect strong quarter in the enterprise segment. There is some high margin revenues. First point we had slightly lower costs in the third quarter – in the within the second half due to the seasonality in August. Really in July and August you have very low cost. And the fourth point we’ve lower roaming costs in the second half.
Luis Prota - Morgan Stanley: Okay. Thank you.
Urs Schaeppi: And as I mentioned of course the impact of the ULL and bit stream, which also has to reach 30%.
Operator: Okay. The next question please.
Vikram Karnany - UBS: Yeah. Thanks. This is Vikram Karnany from UBS. I have couple of questions. Firstly, in Swiss mobile it’s impressive that you’re still able to grow market share from a high base. How should we see this evolving in the coming quarters post Sunrise recent price changes are you still targeting market share growth whilst the market is slowing down? And then similarly, what should we impact, how should we see the impact on SACs as a result? Should we expect the SAC pressure in the second half to increase further with potential new iPhone launch and your focus on TV and is that included within the guidance?
Urs Schaeppi: To the first question, market share in the mobile market with our product Infinity, we’re in a strong position and I’m really confident that in the value market we’re very good position with our product. In the, and that’s why we, that’s (indiscernible) to the, to keep the market shares. It is also, it will be also difficult to run for market shares only over pricing or then that our competitors will have a big impact. So, I don’t think that they will really do very aggressive changes on pricing into the value segment. Another question is in the lower segment, below this Infinity tariff, there you see, these are strong dynamics but not too, too strong up to now. To the question of subscriber acquisition costs in my view we have the subscriber acquisition cost in our outlook, which we think will cover. The question is maybe the question mark is what is happening with an iPhone, new iPhone. If the new iPhone will come really not an iPhone 5 so I guess but since the iPhone 6 with really a lot of new features it could increase the subscriber retention costs but that’s not we don’t see it so therefore we’re confident with our outlook.
Vikram Karnany - UBS: Okay. And that’s clear. Thanks.
Georgios Ierodiaconou - Citi: Hello, it’s Georgios Ierodiaconou from Citi. I have couple of questions. The first one around Italy we’ve seen one of your competitors taking legal action against Telecom Italia following their decision from the antitrust authorities couple of months ago. Do you think there is a case for you to take perhaps similar action on whether you see any significant regulatory changes in Italy on the back of (indiscernible) business by Telecom Italia given the initial phases of the process so far? And my second question is around Switzerland and a new fixed tariffs that you planned to launch in the second half of the year. Is it fair to assume that there will be some negative impact revenues from these bundles and if that’s the case I’m just trying to understand how you expect to deliver improved performance in EBITDA is it just driven by lowest tax or are there any other cost cutting initiatives you are planning?. Thank you.
Urs Schaeppi: Okay. I take the claims regarding Italy. First the spin-off of the network on TI you know and they’re talking about a spin-off of the network division since I think 2008 and nothing happened so far. And also right now there is no final decision to take. And as Carsten mentioned several times this would lead to an massive reorganization of Telecom Italia where you have to build all the interfaces towards the non-fixed line division and that would take at least 18 to 24 months. During this time we will continue to roll out our next generation network which will help to become more independent then on the ULL pricing of Telecom Italia. So we think for us it’s a more or less neutral. On the legal bit with Vodafone took against Telecom Italia. I cannot comment on the content because we don’t know the content but I’m sure our legals have a close look at it. And also in past that has always took always legal actions against Telecom Italia and as you remember we also benefited from some quite material payments from TI to Fastweb. To the second question the launch of the fixed net products, it’s including in our guidance so no impact.
Georgios Ierodiaconou - Citi: Okay. Thank you.
Operator: Just for your information there are five more people in the question queue.
Mario Rossi: Alright.
Operator: Next person please.
Alex Grant - Macquarie: Hi. It's Alex Grant from Macquarie. Three questions please. Firstly, can you just clarify if there's been any change in the subsidy policy in Switzerland over the last six to nine months? Secondly, can you comment, I suppose, on your views on convergence in Italy given your sort of long-term fans and you do see value at Fastweb standalone? If you could just give an update on that. And thirdly, just give us a little bit more color on why you've upgraded revenue guidance but not EBITDA? Thanks. 
Urs Schaeppi: To the first question subsidy in Switzerland we'll not have a change in the subsidy fundamental change in the subsidy policy. And then the all the moves are included in our guidance.
Mario Rossi: And our view on the convergent in Italy first of all you need to understand that the 50% from the revenues of Fastweb come from the corporate segment and we don’t see a trend in the corporate segment in Italy towards convergent. That means we are convinced that standalone there is a value for Fastweb. I think that the situation would be different. If we would have a cable operator in the country. But in the country where the only alternative especially in the corporate segment towards the incumbent are off of networks, which are based on corporate and in our case will be at a significant coverage based on fiber to the street. So there will be an alternative for high speed internet compared to Telecom Italia. And the last question was?
Bart Morselt: The revenue guidance up but the EBITDA was not up.
Mario Rossi: Okay that the impact of the two acquisitions is in the low double-digits for the second half and that I mentioned we will have some quite significant integration cost of two operations Entris and NTalk and we will have to integrate in Swisscom IT Services. So that will neutralize more or less. We will see a positive impact starting from next year.
Alex Grant - Macquarie: Okay. Just to quickly follow-up on the subsidies. Are you saying it's only volume-related and there's no change in your the fundamental level of subsidies in Switzerland?
Mario Rossi: Yeah that’s my belief because the subsidies in Switzerland are already high and then I think that then competition will pay attention to the subsidies because they know if they increase the subsidies that we will react. So they are they pay attention and therefore I believe that the subsidies will remain approximately on the level we have in the forecast.
Alex Grant - Macquarie: Okay, great. Thanks.
Jacques de Greling - Natixis: Jacques de Greling from Natixis. I have two questions could you help us understanding what could be the total roaming impacts by giving us total roaming revenue, both inbound and outbound and second question I would like to clarify what could be the impact of the change in the regulatory framework in Italy for Fastweb in H2, 2013? Thank you.
Bart Morselt: I do have the roaming details somewhere but I don’t readily have him at hand here. Jacques I’m afraid I need to come back to you on that one separately.
Jacques de Greling - Natixis: Okay. Thank you.
Bart Morselt: I apologize.
Urs Schaeppi: And the impact of the regulatory decision in the second half on EBITDA level will be in the low double-digit.
Jacques de Greling - Natixis: Thank you.
Bart Morselt: We have next question?
Operator: The person from Merrill Lynch
Sasu-Petri Ristimäki - Merrill Lynch: I'm sorry. Good morning. Good morning. It's Sasu-Petri Ristimaki from Merrill Lynch. I just wanted to ask about the ARPU development mainly. You highlight the positive trend with Infinity customers, but if I look at your reporting of overall single-play mobile ARPU, it seems to be still continuing down of about minus 10% year-on-year. So how should I think about resolving these two? And then in contrast, the quad-play ARPU seems to be stabilizing, to be much improved over the trend in the last couple of quarters. So can you just talk a little bit about what you're doing to quad-play pricing in the market at the moment? Thanks.
Bart Morselt: On the ARPU the Infinity ARPU that we have shown where we have an increase in Q2 is the isolated changes of that quarter compared to the ARPU that we did before Q2. The postpaid ARPU for the overall customer base has actually stabilized. It has gone up CFH1 in Q2 compared to Q1 is in itself a good trend. You’re right it is down year-over-year but Q on Q it has stabilized. It actually has gone up by CFH1.
Urs Schaeppi: And then the second question was quadruple play if I understood it right.
Sasu-Petri Ristimäki - Merrill Lynch: Yeah. Correct. Quad-play pricing.
Urs Schaeppi: Yeah quadruple play certainly an marketing instrument of process instrument which we play. We have a good success with quadruple play and also would increase in our bundling offer is on quadruple play. So I think it will be the market of about 30% quadruple play long-term and it’s a big growth will be on triple play because the markets are a bit play mobile market is a personal market. That’s my handset and the wireline market is more household business. So but there is a market for quadruple play and we play this content.
Sasu-Petri Ristimäki - Merrill Lynch: Okay. Thank you.
Operator: The next question please.
Hannes Wittig - JPMorgan: Yeah. Good morning. It's Hannes Wittig, JPMorgan. I have two questions. First, if you could maybe comment a little bit on the success you're seeing with your LTE offers at this point and maybe in terms of take-up or monetization. Secondly, I just wanted to see whether you're seeing a bit more traction with connection – fiber connections given the advanced state of your FTTH rollout? Thank you.
Urs Schaeppi: To LTE, and we have actually today a coverage of 50% LTE. At the end of the year we’ll have 17% and this year good – there is a good takeout on LTE because a lot of handsets in Switzerland are 4G-enabled, also the iPhones. So it is a good takeout in LTE. And it’s also important that we have a fast rollout of LTE because it is one of the pillar in our Infinity strategy speed, where speed – where the customers paid for speed. On fiber actually we have 600 – 15,000 household connected on fiber an we have to go in a overall let’s say over 1000 subscribers per region approximately on a run rate. But it’s increasing and then in the last – in this year it’s a two digit figures total figures at – in the fiber market. But I think you should really look long-term to this business because this business will come but it’s a long-term investment. And this year also went in areas where we have fiber that we are able to increase market share.
Bart Morselt: And that’s actually quite interesting because the market share typically in broadband is been going up penetration on the residential and our business has been growing up by 1 percentage point per annum on a copper base, but by more than 3% per annum on the fiber base, in other words the growth is tripling, the minute you offer fiber up from a low base.
Hannes Wittig - JPMorgan: Okay, thank you.
Usman Ghazi - Berenberg: Good morning, gentlemen. It’s Usman Ghazi from Berenberg. First of all, please accept my condolences for Carsten’s passing away.
Bart Morselt: Thank you.
Usman Ghazi - Berenberg: To you and the employees. Just, I had three questions, please. First of all, there is all this debate about the EC cutting into EU roaming rates. I was just wondering if you could indicate to us what impact that might have on Swisscom, if that proposal was to be passed. The second question, I just wanted to go back on broadband, if I look at Q1 cable net adds were around 52,000 that’s been the strongest performance for a number of years. I just wanted to understand what is actually happening that is resulting in cable kind of winning back share in broadband because if I look at the share of net adds versus market share I mean Swisscom share of net adds in broadband is now well below its market share. So, any thoughts on that would be great. And then finally, on triple- and quadruple-play ARPUs if triple-play ARPU was up around 5.5% in the quarter. Now I know the second quarter 2012 was weak comparable but nonetheless that’s quite a strong performance, if you can just indicate what drivers were in play there. And then on quadruple-play, ARPU has been volatile but should we be expecting the ARPU to stabilize at around CHF215 here or – yeah any thoughts on that would be great. Thanks.
Urs Schaeppi: To the roaming – for the roaming influence of Q1 I mean the roaming tariffs in Switzerland, there is only an indirect influence. And then our ambition is currently to eliminate all regulation -- regulatory pressure on this topic, that’s why we also make attractive moves on the roaming side. That actually we don’t get a regulation on it. So the impact is indirect with the moves we make this summer on the rates of tariff I think there is – which is a – it’s not too high if we get a roaming regulation. On the market share net adds broadband, if you look to the figures, we don't have all the figures of our competitor of Q2. But if you look to the figures of Cablecom in Q2 the performance was much weaker than in Q1 and our strategy to increase the market share in the broadband market is that, is the bundling with a very strong TV product. And that’s the one period of vacant period that really to increase the speed in our network with investments in fiber to the street vectoring and fiber to the home. We think that we can stabilize and mid term, short mid term increase our market shares on a moderate base in the broadband market.
Bart Morselt: And on the ARPU on the quadruple-play ARPU, I would calculate we expect for the whole yield and not for the CHF210 Swiss francs. And in the triple play, you have always volatility cost of the mix of the products which are included in triple play that’s quite difficult to predict.
Hannes Wittig - JPMorgan: And sorry just the performance on triple play in Q2 can you indicate what drove that high ARPU level?
Bart Morselt: Well it wasn’t price-driven it was mix-driven.
Urs Schaeppi: It’s mix-driven if somebody with that L Infinity subscription takes triple play including the mobile then you have a high impact on the average ARPU straight to so it’s a mixed revenue nothing price revenue.
Hannes Wittig - JPMorgan: Thank you.
Operator: Okay at the moment there are no further questions.